Operator: Good morning, Ladies and gentlemen, thank you for standing by, and welcome to the DCP Midstream Fourth Quarter 2021 Earnings Conference Call. [Operator Instructions] Please be advised today’s conference may be recorded. I would now like to turn the conference over to your speaker host, Mike Fullman. Please go ahead, sir.
Mike Fullman : Thank you. Good morning, and welcome to the DCP Midstream Fourth Quarter 2021 Earnings Call. Today's call is being webcast, and I encourage those listening on the phone to view the supporting slides, which are available on our website at dcpmidstream.com. Before we begin, I'd like to point out that our discussion today includes forward-looking statements. Actual results may differ due to certain risk factors that affect our business. Please review the second slide in the deck that describes our use of forward-looking statements, and for a complete listing of the risk factors, please refer to the partnership's latest SEC filings. We will also use various non-GAAP financial measures, which are reconciled to the most comparable GAAP financial measure in schedules in the appendix section of the slides. Wouter van Kempen, CEO, and Sean O'Brien, CFO, will be our speakers today. And after their remarks, we'll take your questions. With that, I'll turn the call over to Wouter.
Wouter Kempen: Thank you, Mike. And good morning, everyone. We appreciate you joining us. Before we cover our Q4 results, and our outlook for 2022, I'd like to spend some time reviewing our 2021 performance. Entering the year, we said 2021 would be successful if we could accomplish three things. First, control what we can control by maintaining our cost savings and strict approach to capital discipline. Second, reduce our absolute debt and further strengthen our balance sheet. And finally, accelerate our progress on sustainability and emissions reductions. While we find ourselves battling through a continued global pandemic and the impact of winter storm Yuri, and once again extremely proud of our team performance. For the year, the business exceeded all of our financial targets generating record results for the partnership, we produced approximately $1.3 billion of adjusted EBITDA and approximately $870 million of DCF, $59 million over the high end of our guidance. We also generate record $500 million of excess free cash flow, which has more than doubled year-over-year. And we accomplished all of this while maintaining approximately 100% of our 2020 cost savings. These results highlight the strength of our fully integrated business model, which includes a diversified G&P franchise that positions us to benefit from strong commodity environments and supplies volumes to our downstream logistics network. During the year, we took critical actions to accelerate our progress towards successfully executing a long-term sustainability strategy. We were recognized with the GPA Environmental Excellence Award for the sixth time, we established a board level sustainability committee; we added an executive leadership position to lead our sustainability and energy transition efforts. And we released our second annual sustainability report which substantially increased our transparency at large. We had great activity. But more importantly, we delivered great results. From 2018 to 2020, we saw a 16% reduction in our total greenhouse gas emissions and a 23% reduction in methane emissions. And we fully expect to see those trends continue when we report our 2021 emissions numbers later this year. And as we make continued progress towards accomplishing our 30 by 30 targets. We were also able to make significant progress in strengthening our balance sheet. We ended up the year with a goal of finishing 2021 at 4x leverage, and I'm extremely pleased to report that we exited the year with leverage at 3.8x. This trajectory as is on accelerated base to reach a 3.5x target and allows us to advance our strategy towards returning additional capital to our unitholders this year. We plan to execute the strategy by increasing our distribution in 2022 and pursuing additional capital allocation options, which I will discuss later on the call. But first, I'll turn it over to Sean to walk through our Q4 results and 2022 guidance.
Sean O'Brien: Thanks Wouter and good morning. On slide 4, I'll walk you through our fourth quarter performance and the drivers that impacted our results. For the quarter, we generated $330 million of adjusted EBITDA, $219 million of distributable cash flow and $122 million of excess free cash flow. Fourth quarter earnings came in lower than expectations, primarily due to timing and marketing results. However, the earnings power of the business remains intact and we're seeing improving trends so far this year. Going back to the fourth quarter, we realized higher costs and sustaining capital as we proactively manage the Q1 impact of winter storm Yuri and shifted spin into the second half of the year. Our L&M business was impacted by the timing of tax payments on Sand Hills and Southern Hills. And the very warm start to the winter dampened our marketing results, as limited volatility impacted our trading business. And we saw fewer opportunities to optimize our gas and NGL storage assets. While NGL and crude prices were up approximately 10% from the third quarter, we did realize a lower natural gas price versus NYMEX due to widening basis differentials. During the quarter. Our Permian and DJ Basin in G&P regions continue to perform well, with Permian volumes up 5% versus the third quarter. And while our DJ volumes were impacted by the timing of new wells coming online, the asset performed extremely well delivering higher margins quarter- over-quarter. I'm extremely pleased with our full year results as we exceeded all of our financial targets. And with the month of January behind us, we are seeing some positive trends, cost and sustaining capital returning to normalize levels, and strong commodity pricing has provided an uplift to the base business, creating opportunities to optimize our portfolio like our gas storage asset. Now let's move to slide 5 and our guidance for 2022. For the year, we are set up to deliver increased earnings and continue to generate excess free cash flow. Our 2022 adjusted EBITDA range is $1.35 billion to $1.5 billion, and our DCF ranges $900 million to $1.01 billion driven by increased producer activity, we expect sustaining capital to increase to $100 million to $140 million and a growth capital range of $100 million to $150 million. For the year, we will see increased costs associated with absorbing the impacts of inflation, increased reliability spend to improve runtime and profitability of our assets, and additional spend to ensure we stay in front of regulatory changes. These increased costs are all very manageable. And we are committed to maintaining approximately 50% of our post COVID savings over two years after they were realized. Even with this uptick, our costs are some of the lowest we've seen in the past decade. And these inputs lead to an excess free cash flow target of $425 million to $585 million. Our guidance outline today assumes a 1.56 per unit distribution. But as Wouter mentioned, we anticipate using a portion of our excess free cash flow to make a distribution increase later this year. At the bottom of the slide, you can see the commodity price assumptions that drive the midpoint of our guidance ranges and our sensitivities to help you adjust expectations based on your commodity outlook. If the current forward curve holds up, we will realize $140 million of uplift to our outlook. And our adjusted EBITDA and DCF would exceed our guidance ranges, demonstrating how well positioned we are to benefit from improved pricing outlooks. Moving on to slide 6, I'd like to provide some additional details on our 2022 assumptions. On the G&P side of the house, we expect overall volumes to increase 2% to 5% driven by growth in our DJ Basin and Permian assets. This growth is partially offset by expected declines in our South and Midcontinent businesses. Our favorable G&P outlook feeds the L&M business, and we're assuming 3% to 5% growth on our NGL pipelines. For the full year, we are forecasting DCP operating plans remain in ethane recovery, while third party customers operate and rejection, with expected increases to domestic and international ethane demand, we could see a benefit of around 20,000 barrels per day on Sand Hills if pricing supports a third party switch and ethane recovery, which would be another significant tailwind for our outlook. Our L&M business will benefit from FERC escalators on NGL pipeline tariffs during the second half of the year, which provides a natural hedge to inflation and will help us mitigate any margin pressure we may face as we work to secure incremental NGL supply. Lastly, we are entering the year with an 82% fee and hedged earnings mix and we will continue to take advantage of strong market start additional hedges for the second half of the year and for 2023. Now I'll turn it back to Wouter to provide some additional details on our 2022 strategy and business outlooks.
Wouter Kempen: Thanks, Sean. On slide 7, I'll cover some key themes for 2022. Fundamentals are strong and we continue to see demand strengthening, with US Shale playing a critical role in supplying international markets. Producers remain committed to prioritizing capital discipline and shareholder returns, which supports the near term commodity outlook, and there are signs from our customers that activity levels are ramping up, leading to moderate growth. This constructive environment is driving an uptick in opportunities from DCP. Generally, the project we have line of sight to are organic bolt-on projects it will provide strong cash on cash returns in short payback periods. Along with advancing these growth opportunities, we plan to make some critical and strategic investments in our business that will strengthen DCP’s position for the long term. And lastly, 2022 is an inflection point for DCP as we advance our capital allocation strategy. For the last two years, our strategy was to use every single dollar available to reduce our absolute debt and strengthen our financial position. By the end of 2022, we expect to have reduced our debt by approximately $1 billion since 2020 all while growing our DCF and our EBITDA. These accomplishments provide us a clear path to reach 3.5x leverage on an accelerated timeline and the ability to meaningfully increase our distribution which leads me to our capital allocation strategy. We set a target to reach 3.5x leverage to ensure DCP’s ability to manage through any commodity environment. At today's prices, we are looking at a high commodity cycle with NGLS, crude and natural gas trading at some of the best levels that we've seen in years. Historically, this industry has been considered long cycle business. But in recent years, the duration of the cycles has significantly shortened and we've experienced some very quick transitions, that's kept proved challenging for any balance sheet. When we build our long-term plans and do our scenario planning, we do not assume commodities stay at the current levels forever. Instead, we take a disciplined approach to our planning to ensure we're sustainable in any environment. March 23, 2020, was a very difficult day as we had to take the necessary step to manage through the last down cycle and reduce our distribution. The 50% reduction to the distribution was very measured relative to what was happening in the market. However, it will elaborate that we never want to pull again. So while you see us continue to de-lever to ensure we stay below 4.0 in a doubt commodity cycle. We believe that reaching 3.5x will provide financial flexibility to take a much more balanced approach. And given significant progress made in Q4 reducing our leverage from 4.1 to 3.8, we are quickly approaching our leverage goal. Once reached we have multiple options available to us to utilize the $0.5 billion of excess free cash flow we will generate this year and we will execute the sustainable plan to return additional capital to our unit dollars. In order to deliver immediate value, we believe in meaningful distribution race is an important first step and we should be able to execute this race as soon as the middle of this year. Following this race are strong excess free cash flow will afford us the optionality to consider additional capital allocation options, such as distribution increases, opportunistic repurchases, or executed low multiple and capital efficient investments that fit our footprint and strengthen DCP’s competitive position. On slide 9 like to highlight the strength of the DCP portfolio. Over the last decade, we were able to leverage our G&P footprint to transform the company from a pure play G&P business to a fully integrated midstream provider. Our L&M earnings grew by almost 400% during this time, as we built Sand Hills, Southern Hills, and we support the development of Front Range, Texas Express, Gulf Coast Express and the Cheyenne Connector, all underpinned by strong supply from our G&P asset. Looking to 2022 and beyond, we will continue to advance our value chain position and securing and maintaining NGL supply will be critical to meeting this goal. For DCP, key areas of opportunity for supply growth will come from our DJ and our Permian Basin positions. Starting with to DJ Basin, we've seen incredible growth over the last decade. Gas volumes are up over 250% and NGL production is of well over 400%. This growth has allowed us to drive downstream investments and provide much needed takeaway optionality for our customers. With a major infrastructure in place, we will have the ability to support DJ growth by making incremental investments to our guttering system over the next two years. Depending on producer permitting and local approval development plans, we see the potential for larger scale capacity expansion. We're working with our key producers to ensure the alignment and timing of our blends. Moving to Permian Basin, we benefit from a large scale footprint that provides exposure to both Delaware and Midland Basins. We've been executing a capital efficient strategy focused on building out the Delaware basin guttering infrastructure, while utilizing excess third party processing capacity. In the near term, we will continue to execute this strategy to support our customers drilling plans, while maintaining flexible processing options. Within our Midland basin footprint, we see a lot of opportunity driven by private producers ramping up their activity levels. And with this increased activity, we're well positioned to participate in Midland basin growth by executing on some smaller scale projects, to enhance our guttering system and fill open capacity. As we develop these target at G&P investments to aggregate supply, this strategy will drive value through our downstream assets, providing study fee based earnings. Moving to slide 10 to close this up, I'd like to reiterate how we will measure our success in 2022. As a starting point, it's imperative for us to maintain our focus and operational excellence. Providing safe and reliable operations is critical to the success of DCP and our customers. Second, we will continue to strengthen our balance sheet and investment grade metrics, while returning additional capital to unitholders. Third, we set measurable sustainability targets to improve our emissions performance and increase our workforce diversity. DCP has a record of not just meeting, but exceeding goals. And as we issue our third sustainability report later this year, I expect to announce our continued progress towards these targets. Finally, improving fundamentals are creating some attractive growth opportunities, we will capitalize on these new growth prospects while maintaining our strategy of capital discipline, we are investing in our business, which includes our assets and our people to ultimately lead to improve profitability. On our third quarter call, I noticed that this is the best setup Sean and I've seen in the roughly 10 years, we've been leading the company. And as we look at today's macro landscape, our improved balance sheet and our record excess free cash flow, DCP is set up extremely well in 2022 and beyond. Our team has built a strong track record of executing our strategy and meeting our commitments. And we look forward to delivering exceptional results once again in 2022. With that, we'll open it up to your questions. Thank you so much.
Operator: [Operator Instructions] Our first question coming from the line of Spiro Dounis with Credit Suisse.
Spiro Dounis: Thanks operator. Hi, Wouter. Hi, Sean. Two things I want to start on, just based on your comments and the slides. So one Wouter you mentioned the larger scale capacity increases to the system that could be coming. The other item was extending the value chain down towards the export dock. So on expanding the system, can you talk a little bit more about how much of that is actually incorporated in the guidance already, if at all? And then just how you're thinking about the timing of when those assets or expansions could start cash flowing. And then on extending the value chain down to the dock. I know that's something you guys have talked about in the past is kind of a longer term strategy. But notice that put into the slides in and around the ‘22 outlook contacts. So just curious if that's becoming kind of a more imminent strategy. We should expect you guys execute on going forward.
Wouter Kempen: Yes, Spiro, Thanks. Let me take those, starting with the larger skill, capital and processing, that's really what we're talking about potential additions. But we're looking at this is the DJ Basin. So I a little bit more insight around the DJ Basin. As I mentioned, we've seen massive, tremendous growth over the last, call it a decade or so both from the NGL side, on the processing side, we built a number of different plants there,. We’re pretty full. And so if you look at the DJ Basin overall, we're the largest processor. And we're also the ones that are the fullest from our system point of view. So what we're doing is working very closely with our producer, customers who I think are looking through some of the regulatory changes that we've had here in the last couple of years looking at a little bit more calmer waters, knowing how to work the regulatory construct that we have in place, and within that they are seeing some really, really nice growth going forward. But it is not going to be though is kind of exponential type of growth. So what we see is some pretty good steady growth are kind of next, call it year or two, we think we will have to do a number of investments around our guttering system and making sure that we can move the gas that will come to us from our producers, to our plants, or potentially third party plants, and make sure that we kind of deal with that growth, then what we're looking at, this is in no way shape or form is a certain yet that really depends on what the producers are going to get from their big growth platform programs in ’23, ’24, ’25, ‘26, there is a potential for us that we may have to build another plant, we already hold a permit. So that is great. So we can do that. So we are working together with the producers looking at their plants and say, okay, what is needed in ‘22, what is needed in ‘23, again, mostly around the infrastructure of the guttering footprint. And then if you go further out, there may be a potential to build another plant into DJ Basin, which I think would be an excellent thing if we can, if it comes to fruition. So to the question of what is built in here in ’22, ‘22 is really more focused around that smaller infrastructure type of capital. Nothing is building for maybe in two, three, four years, where we have to build some processing capacity. To your question around, well head to water -- well head to water has been a big part of our strategy. We believe that in the long run the well head to water players will be the main players and the winners in this industry. We've obviously worked ourselves from a strategy from a guttering and processing footprint only to now a company that has residue pipelines, NGL pipelines, we have spread a lot of fractionator interests. So our L&M, our logistics and marketing business now is 60% of our overall earnings profile. And yes, we absolutely have a desire and belief there is an opportunity for us to go further downstream. How, if and when that will take place that is to be seen. Hard for me to comment on at this very stage. But I think, what we thrive to kind of show you in a slide that you mentioned is how do we look at the future? What do we believe strategically needs to happen and the well head to water strategy is one of those?
Spiro Dounis: Got it, that's helpful color. Thanks for that Wouter. Second question, [Indiscernible] earnings call go by without talking about everybody's favorite topic this season, which is Permian gas takeaway. I know you guys in the past, were able to utilize the Guadalupe pipeline pretty well take advantage of some wider spreads. I think since then, you've contracted a lot of that capacity out. So I'm not sure what the tenor of those contracts looks like if they could be coming up for renewal maybe around a good time. But seems like there's a potential for spreads to maybe break out again in ‘23 and ‘24. Curious, how you see the impact to you. And then just more broadly, how do you think this gas take away issue gets resolved.
Sean O'Brien: Yes, I can start with it with the spread comments, Spiro, this is Sean and Wouter may can talk about the long-term takeaway. So we have taken, we took advantage a few years ago, and ran contracts out in two forms, obviously some financial contracts, and then we actually did some physical contracts on Guadalupe Bay, they typically went out on average, five years, we don't hedge the whole 100% of the capacity. So as you think about our portfolio, it declines in terms of the hedge percentage over the years, we were close to 80%, 90% last year, we're probably a little bit on the lower end of that, but similar this year, so there's still some, that's our strategy as a whole, we still leave ourselves some room to take advantage, as you mentioned, the spread widening, and then that diminishes in terms of the amount hedged over time. So if you're thinking about ’23, ‘24, you're going to get closer and closer to about 50% hedged based on some of those contracts rolling off, we still just like we do in our normal business, we'll look at opportunities to hedge that when the spreads are wide. But we definitely have, I think it's a nice balanced approach. We have enough fee based type revenue stream and we leave ourselves anywhere between probably 30% to 20% of upside on Guadalupe.
Wouter Kempen: Yes. And then maybe to add to that, Spiro, if you just go back to the first residue by, new residue by that came out of the Permian was Gulf Coast Express, between us and Kinder, we were the CO developers on that pipe. So I think we have a history of looking at the basement saying is there an opportunity to develop a pipe or to co-develop a pipe, it's very important to our business, we have a large G&P business. So being able to have our own takeaway on the residue side and the NGL site is something that is -- that we're always keenly interested in. for Permian residue takeaway pipe to happen, you need long term commitments. And what that will mean is that some producers will have to step up with some type of long-term commitment. The most significant growth that we're currently seeing in the Permian is from the privates. The privates historically do not have a tendency to sign up for 5 or 10 year commitments. That may change. And the question is already are the large publics, are they going to be willing to sign up? So I think that is one thing that is to be seen and to be worked, but that is very important. And then lastly, I think what I would like to add to show them like, yes, we have Guadalupe, we have GCX, that's existing steel, existing steel is always better from a rake point of view than the new steel. So I think over time, when we have some contract roll off they beat up at either GCX at Guadalupe, we will have an opportunity to re contract that probably at significantly higher rates than what we currently have in place. So that's a pretty good outlook for us overall.
Operator: Our next question coming from the line of Michael Blum with Wells Fargo.
Michael Blum: Thanks. Good morning, everyone. I apologize for maybe kind of a naive question to start here. But, you show on the slide here the upside to your guidance based on the current forward curve. And my question is simply like, why -- what's preventing you from locking in hedging more of that and locking that in the current pricing environment, into your numbers for 2020?
Sean O'Brien: Yes, Michael, I can start and give you a couple things, just the process itself, there's always going to be a difference between when we come out with our guidance, and when we approve our budgets. And I know that wasn't your question. But just to give you a little bit, that stuff happens. Good six weeks ago, we're locking in getting ‘22 approved. And obviously guidance is going to be in line with what our formal budget is. To your second question on $140 million of upside, we are out hedging some of that you were, I think I show ready 2% figure hedged. So we continue to take those opportunities to go out and add some hedges. I'll remind you that the hedges in terms of another tailwind, the hedges that we have on the books for 2022 are at better commodity prices than the hedges we had for ‘21. That should make sense to everyone. So the answer is yes, we are taking advantage, we are going out and locking in some of that forward curve for sure, outer curve and adding to our hedge percentage. On the flip side, maybe the last thing I would say is that, spot prices are higher than the forward curve. So as we sit here six weeks into the year, we're even benefiting even more than that forward because spot prices are, you typically have backward dated curves, spot prices are stronger. So that's one reason obviously, you're still trying to take advantage in the shorter term of an even stronger market than what the forward would show you. But we will take advantage of those curves. You will see us go out and layer on some additional hedges.
Wouter Kempen: Yes, and I think maybe the last one even two after that. You never want to be in a position where you hedge 100% of your position. That would be great if we're in a perfectly completely steady business, but you take events like Yuri and you take your winter storm like we had a week or two ago or last weekend in Texas. There's all kinds of upsets that can happen and you don't want to be at 100% hedged situation either.
Michael Blum: Got it. That makes sense. Second question, I just want to ask was on CapEx, really on both but on particularly on sustaining CapEx, it's, I went back and look, I mean, it's -- the last time you were at $100 million, or this level or higher was literally like 2018. It's been much lower the last few years. So just want to understand what's going on there. And then just what is in the growth capital numbers there?
Sean O'Brien: Yes. So on the sustaining side, Michael, it is an uptick and your math is right. Still pretty low levels, if you go back, 10 years, but what you're seeing on that there's two things in general one, obviously, the Permian and the DJ, you got to cover some of the short term trends that we really liked what we're seeing there. So that does require us to go out and connect to gas, I think that's a strong thing in terms of product replacement, so we're seeing some increases in product replacement, you are seeing it, if you think about 2022, the applicable increases in the margin and the volumes tied to that we talked about those two areas being up 5% to 7%, on the margin side. So that's PR, I think that's a good trend, obviously, that's, it is higher than maybe the last couple of years, but it's still, in my mind very disciplined in terms of the increases we're seeing there. The other thing that hits sustaining, and I talked about it a little bit in the -- in our remarks, is the investments and reliability, the investments in some of the regulatory changes that are coming down the path. So we are, it's a higher reliability year for us, we put a bunch of new assets in about three years ago in the DJ, some very large assets, those require maintenance, there are several on the three year cycle. So we're going to be investing in some of that. And then with a lot going on the regulatory front, mega rule emissions, things of that nature, we're investing and spending some money on those assets as well, or those types of investments. The other thing I would point out is those actually do increase top line returns, right, the more reliable we're run, rerun, the more gas we keep in the pipeline, the more money we make. So I don't want you to think that those sustainability investments are not driving revenue increases either, but those are the primary drivers of the sustaining, as you think about growth, Wouter kind of covered it earlier, again, right back to those two areas, outside of just sustain the volumes we are seeing some opportunities with, in particular where producers in the Delaware basin they are investing more in 2022 than they did in prior years. So we're adding some volume growth, and going out and spending some money that's going to be compression, that's going to be gathering that's going to be connecting to wells. And the same thing in the DJ, exactly the same type of investments, not the big plants that Wouter talked about down the road. But we do see an uptick in growth again, I see that as a very positive thing. Our two best return regions are the DJ and the Permian. And that's where we're, if you think about sustaining and growth, that's where we're investing money in 2022.
Operator: Our next question coming from the line of Tristan Richardson with Truist Securities.
Tristan Richardson: Hey, good morning, guys. And just – and appreciate your comments on the DJ around investing your assets and the processing landscape there. And Sean, you may have even touched on in the previous question, but just on the Permian. Wouter, you made DCP’s position very clear over the past several years, but just on access third party processing, you're seeing some of your peers, maybe add a plant here and there to the medium term schedule. Do you see a lot of latent third party capacity still available or at some point do we see a tightening begin and does DCP start to look at internal project developments there?
Wouter Kempen: Yes, so yes, Midstream is a regional business, correct. It's a real estate business. So it all depends on location. So there are obviously are some areas with some profiles where people say, hey, I'm short, and I need to build something. And then there's other areas where you do have some overcapacity. So we see here in kind of the shortish term and whatever short means, 18 months or so, we definitely still see some opportunities for us to utilize a third party. And then the question is, is there an opportunity to do something different in the longer run? We'll continue to look at that very, very closely. But, I don't see a situation right here right now where we're sitting and saying, hey, everything is chock a block full from a G&P point of view in the Permian, and therefore you got to pivot and go do something else. But we do, I think in general we started our supply, long capacity short strategy kind of in 2019. So that is good three years ago, and at some moment there is going to be a change to that. Or you say, hey, I need to build my own some additional infrastructure that I own myself, I think in general, that would be a good thing. If that's the case. And as I said earlier, we might probably we see some of that on the horizon in the DJ Basin and depending on where things go in the Permian, we may have to go that same route as well.
Tristan Richardson: Appreciate it, and then just on potential tailwinds this year. Makes sense, which you guys have laid out just from a commodity standpoint. But then just on the third party ethane opportunity. Maybe just give us a scale of what that could look like this year, if you do see an incremental pull.
Sean O'Brien: Yes, Tristan, I mean, we've been in and I think you're alluding to it, we've been in our plants, our assets have been in recovery for quite a while now for a couple of years. It's often on with the third parties. Obviously, third parties have different downstream contracts. They have different downstream economics. We're very fortunate we have the ICC, we're looking at those decisions on a real time basis. And you see us optimizing that, but bottom line, we did not see a lot of third party recovery last year, maybe a slight uptick in Q4. And as I indicated, we kept that trend in our guidance for 2022 if and we, I know, we've seen the frac spreads kind of increase. And obviously the decision, that these guys run the models they run there are more than just the frac spread, but at least that's going our way. If we do see, third party plants go into recovery mode, we think somewhere in that 20,000 barrel per day uplift, and then obviously, that would be for the full year, and that's substantial. That could be $20 million, $30 million of additional margin if we see that. So that's a great tailwind. And so far the fundamentals are pointing to that. But will and the last thing I would say is we do work with individual producers to try and incentivize them. As I mentioned, we didn't see a ton of that last year, but maybe it's more opportunities this year, so it could be a good tailwind for the company.
Operator: Our next question coming from the line of Jeremy Tonet with JPMorgan.
Dan Walker: Hi, everyone. This is Dan Walker on for Jeremy, I just have a couple questions. The first is on the tax payments on Sand Hills and Southern Hills that you pointed out in the release and in your prepared remarks. Can you quantify those for us? And I guess by timing, when were those payments expected? And does this mean that these tax payments were pulled forward? And if so, would that have I guess, positive implications for 1Q or this year?
Sean O'Brien: Yes, Dan, the way I would think about it in as a whole, we talked about sort of the Q4 and areas where we had some timing and maybe a miss the cash distributions from our pipelines, essentially, we had zero, if you really look at it, there were zero in Q4, typically, they're running $20 million to $30 million a quarter. The two thirds or more of that was the tax payments. So you don't have, maybe $24 million, $25 million. I wouldn't say that were pulled forward, typically we pay them either in late December, or in early January. So just and obviously, if you think about 2020, being a COVID year, things were a little bit slower. That payment didn't happen in Q4 of ’20 going into ‘21. It happened in ‘21. So we actually made that payment in Q1. And then obviously things, back a little more efficient. We made those payments in Q4 late. So to your point, that is a tailwind that's why we call it timing. And when you're going to pay your taxes no matter what. But that is something that obviously we paid late last year, so we won't have that majority of that payment occurring in Q1 of this year. And again, setting us up pretty good for the quarter.
Dan Walker: Okay, got it. Thanks. And then the second question we had was just on the costs versus top line. I mean, you talked about the escalators in the second half kicking in and cost reductions that were largely, you kind of held the line in ‘21. But what kind of OpEx pressures are you seeing if any, and what are you budgeting? What's kind of baked in, I guess, for the ’22 guide?
Sean O'Brien: Yes, in terms of pressures, everyone's dealing with inflation, you've got the great resignation. So the company's doing some really smart things around investing in our people. I think those are prudent, I think, the company's done an amazing job, I'll reiterate some of the things that I mentioned. I mean, we cut $150 million out in 2020. Obviously, during COVID we held on to all of that we stayed flat in ’21 and very few companies did that. And then again, we're going to hold on to half of that, two years later, but the pressures to your question, definitely some inflation, definitely some investments in our people, you heard me, I mentioned, we're taking this opportunity to, I think you're in a very productive fundamental environment, I think we're going to invest in our assets. And on the regulatory front, on the ESG front, you'll see us get ahead of a few things there. I think those are all prudent investments. And we're still holding on to half of those $150 million savings that we deliver two years ago. So I think they're all manageable. I think they're things that we clearly have our eye on. And then I think you highlighted something important that we do as a company have offsets to inflation. Commodity is a great one that tends to correlate with inflation. And we talked about the $140 million of forward curve uplift. And then in the second half of the year, we do have those escalators that kick in on some of our G&P contracts. But the bigger ones are tied to our pipelines. And those are meaningful as well. So the good news is we have good offsets to inflation. But those are some of the pressures we're seeing, I think we're doing a better job than many in terms of trying to mitigate some of those.
Wouter Kempen: Yes, maybe, Dan, just one quick kind of macro, like we all saw the numbers this morning. So 7.5% inflation, the highest we've seen in four decades, I can guarantee you that we will beat those numbers, you're not going to see our numbers go up by 7.5%. And we're going to continue, as Sean mentioned, to invest in our business. So not only are we going to beat the 7.5% by quite a bit, we're also going to on top of that, invest in our business. So I think we have a great track record of running it by chip, making sure that we deal with cost really, really well. Sean mentioned two years after, the big COVID savings, we held on to 100% of those savings. If you start giving a little bit back in an environment like we are today, I think that is a pretty good place to be and you're still going to be well below of those cost levels that you were two years ago, or even well below cost levels that we were four or five years ago, while we're running a lot more assets, billions of dollars more assets. We're running them more profitable, more reliable, safer and with lower emissions. So net-net, I think around the cost story, it continues to be a really, really great story.
Operator: Our next question coming from Miko Cusumano from Pickering Energy Partners.
Miko Cusumano: Hey, Wouter. Hey, Sean. Looking at the Midcontinent, you point to moderate decline there. Just curious if that's consistent with your view on the basin as a whole or just your system. I know it's competitive G&P region. So can you just talk about what you're seeing there?
Sean O'Brien: Yes, so a couple things might go on the Midcontinent and thankfully slightly favorable story. So we are seeing we, as we gave the guidance for ‘22, we're saying modest declines, when I look back at ‘21, and even ‘20, our portfolio has been outperforming the basin declines. So we've seen, we've actually, I guess, baked into some increases in market share. So we've been able to do some interesting things. You may recall, we've consolidated a bunch of plants there, we're taking a lot of the gas to our most efficient plants. That's increasing our earnings, one of our most new and most technologically driven plants. So I think it could be, in ‘21, it was a slight positive surprise to the company. And I think slight declines, I don't think you're going to find anyone that's seen big growth out of the Midcontinent. But we have been slightly beating, in my opinion, what I see we've been beating the trends of the basin, so kudos to the team for that. But I'll remind you, it's a good area, but our best or profitable, most highest return areas of the two that we are seeing some growth back to the Permian and the DJ, but overall a decent story in the Midcontinent when considering the environment.
Operator: Our next question coming from the line of James Carreker with U.S. Capital Advisors.
James Carreker: Hey, guys, thanks for the question. Appreciate your comments about returning additional capital to equity. But just kind of curious if you have any thoughts around that plus or minus $500 million of excess free cash flow, a 10% raise additional $30 million. I guess how do you think about allocating the rest of that for this year, then, assuming you'll have free cash flow in ‘23 and beyond?
Wouter Kempen: Yes, no, James, thanks for that, hey, no good deed goes unpunished. I think the way we look at this, we have all of the above, got enough broad menu of opportunities that are available to us. Well, I think, people back, we, our goal was to be at 4.0 at the end of 2021, and we were at 4.1 at the end of the third quarter, at 3.8 at the end of the four quarters. So massive improvement. So what we got to set is like, there's an opportunity to start accelerating capital return to unitholders instead of the second half of 2022. And let's kind of start targeting the middle. And we believe we need to target this with the distributions. At the same time, we're going to continue to have a commitment to the balance sheet. So we got to get first from 3.8 to 3.5. And then what we always say is that the, hey, 3.5 should really be a mid-cycle type of leverage. I think at the current prices that we're seeing, we're probably above mid cycle. So you're going to continue to see additional dollars, go back to the balance sheet. So we continue to lower our overall leverage so that if things go the other direction, and we get into some type of lower cycle, which at some moment, we will, the balance sheet is still ironclad. And we could still run a really, really good business. So but at the same time, once we hit that 3.5, it's going to be kind of a dual prompt approach, race of distributions and continue to have door go to the balance sheet at that time, where I think also having a much kind of broader view around what else is possible at that time. We spoke a lot about, hey, some growth in the DJ some growth in the Permian. That's things that you want to do as long as it is good growth. And it's growth that makes a lot of sense. And I think we have a pretty good history in both the DJ and the Permian of putting profitable growth in place. Additional raises something that could be on the table, and then things around, your common or your preferred to step something that you want to put on the table? All of those things we're going to be looking at here over the next number of months in the next number of quarters, what is available? What makes sense? Why are we trading? So from a cost of capital what makes most sense? I think the good thing, and the takeaway is, we're in a great position, we're going to be at 3.5 leverage here sometime in the middle of this year, we're going to raise the distribution, and start putting cash back to unitholders. And then on top of that, we have a tremendous amount of option, as you pointed out, there's an unbelievable amount of excess free cash flow still available. And we're going to see what the most or what’s the smartest thing is to do with us.
James Carreker: Thanks for those comments. And then maybe as a follow up just any comments about, I guess, M&A kind of on either side? One of the partners in GCX just sold out a piece of theirs, $850 million, is that evaluation that's interesting to you. And then on the flip side, do you see a use of free cash flow of going out and being strategic and acquiring any assets or maybe both? So [Multiple Speakers]
Wouter Kempen: No, great questions. I think earlier in the call, we spoke about GCX a little bit. We were the original developer, for us massively strategic asset, we like it, we like the earnings power, it's core to the business. Yes, we spoke a little bit about well head to water strategy. Well, that's not only NGL pipelines, it's also residue gas pipelines. We have GCX, we have Guadalupe; we have to Cheyenne Connector that we have added to DJ Basin. So all of those fit really nicely into our system. We have a strong outlook for the Permian Basin, we have a strong outlook for G&P assets and our gas needs to find a way to go to market and so owning your own pipes and infrastructure. Being yourself is always a good thing. So we do have a poll option on GCX. We're going to review that, we have some time to review that the other partners have the same. We are not anticipating to be as seller of GCX, of our interest in GCX then in broader M&A we do believe that the market will continue to consolidate. We went from this high growth kind of decades to a much more mature industry where we are now lower growth that normally leads to M&A cycle starting up, we've seen some of that in ‘20 and ‘21. Think you're going to see more of it in ’22, ‘23. M&A is not a strategy, it's a way to execute your strategy. If there's an opportunity to do something from our side, where we can expand the business in a logical way, and either use a strong balance sheet or a strong currency and do something where we believe that strategically we will make the business stronger for the next five years, the next decade. We're obviously going to look at that.
Operator: Our next question coming from the line of Gab Moreen with Mizuho Securities.
Gab Moreen: Hey, good morning, everyone. Just quick ones for me on the capital allocation question, following up on James's question around whether getting to investment grade is a priority at this point, and to what extent that may or may not be a gating fore factor to capital return, or going below the 3.5x leverage target.
Wouter Kempen: Gab, Wouter here. For us the number the 3.5 and the investment grade rated metrics. That's the most important thing, if the rating agencies are going to follow suit. That would be really nice. Okay. But for us, it's not something where we're saying that if the rating agencies are going to move the goalposts from us that we say, okay, we're going to hold off on raising the distributions at 3.5 you are still kind of a gating item for us. And we would like to be investment grade rated, we think we deserve it, our outlook deserves it. I think a number of the agencies have put us on positive outlook or taking positive action. And what I said earlier, I'm like, it’s not when you hit 3.5 then, the other almost, and $0.5 billion of excess free cash flow is just going to be spent. No, there's still money going through the balance sheet. So we think we will exit 2022 well below 3.5.
Gab Moreen: Thanks Wouter. Maybe I can follow up on the comments around competing for incremental barrels. I think specifically, maybe in the parts of the Permian, has anything changed significantly since last quarter or two with that language. I mean, obviously, there's been some changes in assets, which may affect the competitive dynamic out there. Can you just speak to that a little bit contract roll offs, et cetera, et cetera.
Wouter Kempen: Not a lot of contract roll up for us. I think the first contract roll off is in early 2024 or mid-2024 that we have. So not a lot of contract roll up there is still quite significant overcapacity from an NGL point of view. So if you're thinking about, hey, we spoke about processing in the Permian, we spoke about residue gas if you take NGL now, that’s -- there's more overcapacity in NGLS than there is in processing or residue gas. So from that point of view, competing for new barrels is definitely happening at lower rates today than where we were three, four or five years ago. And I think that was the comments that Sean was alluding to.
Operator: Our next question coming from the line of Elvira Scotto with RBC Capital Markets.
Elvira Scotto: Hi, everyone, thanks for taking the question. I had a follow up call just on the question on the sustaining CapEx. How much of that is unique to 2022 that won't repeat next year, for example, I know you mentioned reliability spend? I mean, is that an ongoing expense? Or is that more of just a 2022 expense?
Sean O'Brien: Hey, Elvira, So ’22 on the reliability side, that I alluded a little bit to it, I think, in some ways, will be a little bit of a higher year, we had some big assets that went into the DJ, if you go back prior to the COVID year, we invested a lot. And they are due every three years for some pretty good maintenance and liability spend. So from that perspective, I would see it more as a little bit of, as time when I reference the spend on the regulatory I see that more as continuing, I think the environment we're in it, we're going to continue to invest in ESG. We're going to continue invest in our pipelines and try and stay ahead of the regulatory environment. Now remind you obviously we're in Colorado and Southeast, New Mexico, two very regulated states, we take a very proactive approach. So the answer is yes, I think a little bit higher if you're going to focus on the reliability spend. I hope the product replacement spend continues at that rate, that'll be a great sign for our industry. But from a reliability, probably a little bit higher year.
Elvira Scotto: Okay, thanks. That's helpful. And then just looking at your 2022 adjusted EBITDA guidance, what sizes the low end versus the high end and did that $140 million upside from the forward is that --should we think about that as versus the midpoint of your guidance, or potentially from the high end of your guidance?
Sean O'Brien: The $140 million is versus the midpoint of our guidance. So if you take the mid, we gave you the mid commodity deck that we use, and obviously, the forward curve, so that's $140 million over the midpoint, plus the things that can take you to the low end, obviously, it could be the big ones and haven't changed or going to be, does the commodity dampen? we always have a range on the commodity deck, right now, we're very fortunate as we look at that range is pointing significantly to the up, and then volume growth again, there things could transpire a little bit slower on those two areas that we talked about in terms of volume growth. But, as we sit here, six weeks into the year, almost. So things are looking good on that front. But those are the types of things that we think about when you're talking about what would take you to the lower end of the guidance, commodity dampens quite a bit, and producer activity dampens quite a bit. Those are the big ones. There's others, but those are the primary ones we are going to focus on.
Elvira Scotto: Got it. And then just one last one, for me. Any significant weather impacts that we should think about in the first quarter, given, some of the recent storms?
Wouter Kempen: Well, I can't talk about the rest of the quarter, but I can talk to until February. We obviously had the storm last week, I would say, we were all [Indiscernible] given Uri last year, but I think it went -- it was more like a normal storm. So yes, you have a little bit of impact from it and a little negative impact. But it's nothing to worry about vis-à-vis what the country saw on the state of Texas saw with Uri last year. So I would say it was more kind of a normal weather event.
Operator: And we have a follow up question from the line of Jeremy Tonet with J.P. Morgan.
Jeremy Tonet: Hi, good morning. Thanks for squeezing us back in. Just a real quick clarification here with regards to the potential for opportunistic buybacks and the thought process whether to point that towards preferred or common if you had anything you could share there?
Wouter Kempen: Yes, nothing really to share other than to something that we're going to take a look at, as James pointed out, there's a $0.5 billion back just free cash flow available. And a meaningful double digit distribution raise is I think is very important. But there's still a lot of optionality after that, it's going to be a little bit of hey what makes most sense, and how -- what do we see from a growth point of view? What do we see from a distribution point of view? How are we executing? And then, where are the units trading, obviously, with common and with the preferred, it's all about cost of capital and what makes most sense in short run and the long run, and we'll be weighing all of that here in the next number of months and see where we come out. I'm showing up for the questions at this time. I will now like to turn the call back over to our speakers for any closing remarks.
Mike Fullman : Appreciate you guys joining us today. If you have any more follow up questions still, please feel free to reach out. Thanks. Have a good day.
Operator: Ladies and gentlemen, that does conclude our conference for today. Thank you for your participation. You may now disconnect.